Operator: Welcome to Sapiens International Corporation's 2023 Third Quarter Financial Results Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. It is now my pleasure to introduce your host, Yaffa Cohen-Ifrah, Chief Marketing Officer and Head of Investor Relations. Thank you, Yaffa. You may now begin.
Yaffa Cohen-Ifrah: Thank you, operator. I want to welcome all of you to the Sapiens conference call to review our third quarter results for 2023. With me on the call today are Mr. Roni Al-Dor, President and CEO; and Mr. Roni Giladi, CFO; and Mr. Alex Zukerman, Chief Strategy Officer. Following the summary of the results, we will be available to answer any questions. Before we start, I would like to remind everyone that this conference call may contain projections or other forward-looking statements. The safe harbor provisions in the press release issued today also apply to the content of the call. Second to expressly disclaim any obligation to update or revise any of these forward-looking statements, whether because of future events, new information, a change in our expectation or otherwise. On today’s call, we will refer to the non-GAAP financial measures. A reconciliation of GAAP to non-GAAP results has been provided in our press release issued before the market opened this morning. A replay of this call will be available after the call on our Investor Relations section of the company website or via the website link, which is available in the earnings release we published today. I will now turn the call over to Roni Al-Dor, President and CEO of Sapiens, Roni?
Roni Al-Dor: Good morning everyone, and thank you for joining us today for Sapiens third quarter 2023 earnings call. Sapiens has delivered another strong quarter in 2023, and I want to start highlighting some key points that demonstrate result. First and foremost, we remain committed to deliver results that align with the expectation we set earlier this year. In each quarter of three quarters in 2023, we have delivered revenue growth with expanding margins. The third quarter was yet another strong quarter for us, marked by further improvement in our operating margin. Revenue in the third quarter of 2023 totaled $130.8 million, up to 9.9% year-over-year. Operating margin this quarter increased to 18.4%. We are seeing continued momentum in key regions. In North America our investment and increased sales team have contribute to our success in 2023, and in Europe we have maintained our strong performance and we are exciting about our momentum. Let's start with North America, where we are gained traction through new logos and expansion with existing customers. Revenue in North America increased by 10.7% year-over-year. One example is our recent win with the American Armed Forces Mutual Aid Association a non-profit financial solution provider for military families and veterans who selected Sapiens Pro Series Customer Acquisition SaaS solution, consisting of Sapiens ApplicationPro, IllustrationPro, UnderwritingPro, and Intelligence, as a part of its legacy modernization and automation initiative. AAFMAA selected Sapiens based on our proven ability to deliver timely, quality products and services in a digital environment, enabling them to better serve their members. This is a new Sapiens customer who's implementing this schedule for completion during the second quarter of 2024. Workers Comp is category where Sapiens is gaining strength in North America. In the third quarter, we announced that South Carolina State Accident Fund, a state agency that offers guaranteed workers compensation insurance for governmental entities, selected Sapiens core suite for workers' compensation to provide a more intuitive system and detail of workflow automation. SAF [ph] will also implemented Sapiens digital suite and Sapiens intelligence for more engaging user experience and enhancing processing, respectively delivery through Sapiens SaaS platform. Moving to EMEA. Europe continued to be a key region for growth. Sapiens revenue in the territory increased by 13.8% year-over-year continued the growth momentum we saw in previous quarters. The Nordics [ph] are focused region in Europe where we continue to gain ground in the third quarter Aktia Life, one of the Finland's top life insurance first Sapiens as it partners to lead its core system transformation via Sapiens CoreSuite for Life and Pension. Sapiens was selected for its proven experience in complex insurance ecosystem integration and for providing an end-to-end cloud-first digital enhancement platform for individual and group product across life, wealth and pension insurance. Aktia has recently experienced rapid change in customer behavior its digital efforts are critical steps towards enhancing efficiency and elevating the customer experience along the new product offerings. Moving to South Africa. In the first quarter, a long standing customer of Sapiens in South Africa, a Tier 1 bank, expand its use of Sapiens CoreSuite for Life and Pension to launch its group risk proposition. The expanded use of Sapiens CoreSuite for Life and Pension is part of the bank strategy to launch new and improved products to its customer base. Adopting Sapiens CoreSuite for Life and Pension satisfied the requirements for complete and robust policy administration solutions. In addition, the Tier 1 South African Bank, which expanded its relationship with Sapiens into new territory, went live in Namibia. Recipients did suite for property and casualty. As the core system for its short term non-life insurance business there. The bank already used to IDITSuite for its short term operating in South Africa and Sapiens CoreSuite for Life and Pension for its Life and Annuity businesses. IDITSuite was chosen by the bank for its expansion in Namibia based on its positive experience with the existing Sapiens relationship and the successful implementation in Sapiens IDITSuite in South Africa. This win exemplifies how our holistic relationship with our customer through their lifecycle can be growth driver for Sapiens. Shifting to our product portfolio, established product capability and functionality to compete effectively in any region. Sapiens goes further with a comprehensive product offering and dynamic platform that supports the entire product life cycle to bring holistic solution to customer with business application, digital data, and decision management products on top of our core P&C and life platforms. All our product segments including Life, P&C, workers compensation and digital performed well again in the third quarter. We remain committed to provide innovative solutions that meet evolving needs to our clients. We are receiving awards and endorsements for industry analysts for our CoreSuite for Life and Pension platforms in North America and EMEA. This supports our growth expectation for this product line in this critical region. In the third quarter, Sapiens Reinsurance Master platform was named as Luminary Solution in Celent Ceded Reinsurance Solutions Global Reports. Sapiens CoreSuite for Life and Annuity platform was named as Luminary Policy Administration Solution by Celent in North America. Sapiens CoreSuite for Life and Pension, Celent 2023 Excellent Awards of the Breadth of Functionality category in EMEA region and was named a Luminary Solution. On October 2023, we hosted our North America Customer Summit in Tucson, Arizona. I want to take a moment to discuss the importance of our Customer Summit, which was critical event for us. This year's summit was the largest ever with over 500 attendees from 145 companies, including new and longtime customer from all of our business vertical P&C workers comp, life, venture [ph] and decision financial compliance. In addition, we hosted prospect and industry experts from Celent, Datos, Microsoft and more. We are empowered by the trust and the confidence our customers have in Sapiens. We were also proud to have 23 partners that attended with 18 sponsoring the events. Microsoft was the Gold sponsor and other industry leaders supported our summit further underwriting the strength of our partnership and the value they bring to our customers. Our Customer Summit is a platform for meaningful discussion about our roadmap solution and industry trends. We had panels featuring industry analysts and customer offering valuable insight into our industry future and confident insight in our strengths and capabilities for our prospects. This summit focus on our cloud based digital and data offering across our core suite and business application solution, which enable our customers to grow while realized operating gains. We had a fantastic feedback from attendees and there is tremendous excitement around the improvement our offering can bring to their businesses. The success of our Customer Summit reflects the collective efforts of our sales, customer success, marketing delivery, and management teams in the North America region. Our short leadership and strong partnership spirit enable our customers to run their most critical business functionality successfully. During the conference, we announced the launch of Sapiens Decision Model.AI, Generative AI Solution to Enhance Automation Speeds, Integrated Microsoft Azure OpenAI Services. Decision Model.AI the first product in second decision AI portfolio will address the growing market demand for decision management technology driven by machine learning and AI integration. I want to take a few moments and address the situation in Israel. As you all know, Sapiens is a global company founded the headquarter in Israel. On October 7, Israel was under terror attacks by Hamas, a terrorism organization. 1,400 people were killed in the attack and 242 were kidnapped civilians, babies, children and eligible people. This attack forced Israel into a war. Our thought are with all the people who are suffering from the situation and those who have lost loved ones. Sapiens is a mature global organization with key members and operation across the globe. Our global operation includes development and support centers in 22 countries including the United States, Europe, India and Israel. Additionally, we have a global operations centers with well established business continuity program among these centers. We are well prepared and organized to continue supporting our customer employee during these challenging times. In conclusion, we are confident in execution our strategies effectively across our established region in various product category in which we compete. Our team's dedication highly execution level have been factor in our long term record of success. This confidence fuels our commitment to deliver excellent results to our customer and shareholders. Now, I would like to turn it over to CFO to provide more detail on our financial performance.
Roni Giladi: Thank you, Roni. I will begin with a review of our third quarter 2023 non-GAAP result. All comparisons are year-over-year versus Q3 2022 unless otherwise stated. I will follow with the comments on the balance sheet and cash flow and wrap up with our guidance for 2023. Revenue in the third quarter of 2023 increased to $130.8 million, up 9.9% from the third quarter of 2022. On a constant currency basis, our organic growth rate compared to Q3 of 2022 was 6.9%. Our revenue in North America totaled $54.8 million, comparing favorably to $49.6 million in Q3 of 2022, an increase of $5.2 million or 10.7%. The increase in North America revenue was due to growth across most of our line of business and reflect our momentum in this region. In the last five quarters, our North America region grew quarter-over-quarter, reflecting the initiative and investment we implemented to grow this region. Our European revenue totaled $64.7 million a year-over-year increase of 13.8% compared to $56.9 million in Q3 of 2022. On a constant currency basis, reflecting organic growth of 7.5%. Revenue from the rest of world, which includes South Africa and APAC, declined 10.6% to $11.3 million in Q3 of 2023 compared to $12.6 million in the same quarter of last year. The decline in revenue is temporary and is mainly due to project go live. Overall year-to-date, our revenue in all our region are growing. Our year-to-date growth comparing to nine months ended September 2022 on a constant currency basis was 8.3% reflecting 7.2% growth in North America, 9.7% in Europe and 6.5% in the rest of world. I will move now to revenue mix. Revenue mix in Q3 of 2023 from recurring software product and reoccurring postproduction services totaled $87.4 million compared to $75 million in the same quarter of last year, a $12.4 million increase or 16.6% growth from Q3 of 2022. We are extremely pleased with the momentum and growth of our recurring and reoccurring revenue stream, which as I will remind you, have higher gross margin than our one-time implementation and the company overall gross margin. This recurring software product and reoccurring postproduction services represent 66.8% of our total revenue this quarter compared to 63% in Q3 of last year and 64.3% in Q2 of 2023. Gross profit, in Q3 of 2023 was $59.3 million, growing by 10.7% compared to Q3 of last year. Our gross margin this quarter was 45.3%, 30 basis point higher compared to Q3 of 2022. Operating expenses were $35.2 million, an increase of 7.8% compared to $32.6 million in the third quarter of 2022. Both of our R&D and sales investment have grown this quarter to support product position and sales effort globally. Operating profit in Q3 of 2023 was $24.1 million, an increase of 15.1%. Operating margin increased from 17.6% to 18.4%. During the quarter, we had tailwind from the new Israeli shekels versus the USA dollar, which reduced some of our cost and was partly offset by higher investment. Net income attributable to Sapiens shareholder for the third quarter of 2023 was $19.1 million compared to $16.9 million in Q3 of 2022. EPS for the quarter was $0.34 per diluted share, an increase of $0.04 or 13.3% compared to $0.30 per diluted share in the third quarter of last year. EBITDA increased by 12.4% to $24.8 million, or 18.9% of revenue compared to $22 million or 18.5% of revenue in Q3 of 2022. Turning to our balance sheet and adjusted free cash flow. As of September 30, 2023, we had cash and cash equivalents and short term deposits totaling $173 million with a total debt of $59 million, which is scheduled to mature in three equal annual tranches until January 2026. During the third quarter of 2023, we generated an adjusted free cash flow of $1.7 million compared to $1.9 million in Q3 of 2022. During the third quarter, we paid a cash dividend of $0.26 per share reflecting a total dividend of $14.4 million for the first six months of 2023. As per our dividend policy, we will announce the second half of 2023 dividend when we announce our 20-F reports for 2023. I would like to turn now to our guidance for 2023. We are reiterating our full year 2023 non-GAAP revenue guidance at the range of $511 million to $516 million, which reflect year-over-year growth of 8.1%. At the midpoint, however, we are increasing our non-GAAP operating margin guidance from a range of 18% to 18.2% to a range of 18.2% to 18.3%. To summarize, this was another strong quarter. Our revenue grew 9.9% or 6.9% on a constant currency basis. Our software product and reoccurring postproduction services grew by 16.6% and represent 66% of our revenues, and operating margin was 18.4% with an EBITDA margin of 19%. In closing, I would like to leave you with the following thoughts. First and foremost, we understand that the ongoing war in Israel may raise concern about potential implication on Sapiens business. We are closely and continuously monitoring the situation, ensuring that our Israel employees are safe and Sapiens business continuity is kept intact. However, given the current situation and global macro concerns, I would like to provide some high level color on our 2024 revenue trajectory. We have never provided this level of color before in Q3, but given the abovementioned issues, it’s appropriate to us to give you, our investor, some sense of our visibility. We continue to be conservative and feel comfortable with delivering on current consensus estimates at $550 million revenue in 2024. To reiterate what Roni Al-Dor stated, Sapiens is a global organization with distributed operation worldwide. 93% of Sapiens revenue are generated globally outside of Israel. 85% of our employee are located outside of Israel and we have local management position and customer facing employees in each country we operate. The vast majority of our sales team is outside of Israel, close to our customer and prospects. We work with global banks around the world. We have a strong balance sheet with $170 million in cash with significant portion of our cash in USA dollars. With that, I will turn the call over to Roni. Roni?
Roni Al-Dor: Thank you, Roni. We deliver a strong quarter, given great success across our business, geographically and by product line. Importantly, we remain committed to deliver results that align with the expectation we set earlier this year. I will now ask the operator to please open the call for questions.
Operator: Thank you. [Operator Instructions] The first question is from Dylan Becker of William Blair. Please go ahead.
Dylan Becker: Hey gentlemen, appreciate the question and great to hear that the Sapiens team and families are doing safe and well. I think I speak for everyone on the call and hoping for a quick resolution to the conflict there. But Roni, maybe talking about the demand drivers and kind of the accelerating need for change. Wonder when you’re talking to those clients, what’s the biggest driver? Is it their emphasis and need to drive efficiencies? Is it may be skewed towards new growth initiatives? Assuming it’s maybe a little bit of both, but wondering how your customers are thinking about prioritizing that spend today?
Alex Zukerman: Yes. This is Alex here. And Dylan, I’ll try to answer your question. When we look at our customers, they have several drivers to do business with us. One major driver is operational efficiency. And they need in this a bit non-stable financial climate to ensure that their business and their processes are fully operational with clear efficiency. Now, for us, our solutions across the board, when we look across our data solutions, our digital solution, actually our core solutions, they all have strong capabilities around operational efficiency, from bringing high level of automation to the processes, low code, no code, the ability to extend and extend the ability of users to perform their activities. All the direct-to-consumer and digital engagement tools that we provide those all together in our platform, a very strong driver for our customers to engage with us. Another driver that we see is the ability to quickly identify an open niche or blue ocean type of business by the insurance companies and go quickly after this business. And this is where they really look for our capabilities around strong configuration, low code, no code, and the ability to deploy our systems in a record time in order to allow them to go to market.
Dylan Becker: Okay, got it. Super helpful. And then maybe too, there’s nice momentum in the postproduction product. And I think in the North American segment there seems like the prior sales restructuring is seeing some nice traction, but also how customer receptivity has changed, if at all. Now, we’re seeing a little bit of a recovery from carriers and loss ratios. You’re seeing that rate environment. Is that opening up the willingness to incentivize spend in this area?
Roni Al-Dor: I hope I can answer your question. It was a little bit difficult to hear you. And so just to share with everybody, we increase dramatically our sales organization, the marketing part, the account management part and the marketing. So all the three areas we start to see in early stage new things that we didn’t see it at the past, just because we are covering more customer than it was at the past. We did an outstanding client conference. I mentioned, I don’t want to repeat it. It’s also generated a lot of interest around digital data, cloud decision part and so on. So, we see as Sapiens growing and we are also, we have much more to offer, also on product and also on services. If I didn’t answer your question, let’s say ask again.
Dylan Becker: No, no, that makes sense. And then Roni, maybe too, if I could squeeze one last one in. So coming out of the conference, the common themes throughout, seem to resonate around strength in areas like workers comp, reinsurance and maybe even medical malpractice, I guess. What’s the secret sauce from a product perspective there? Is it the content? Is it again, the specialization around particular lines? Anything to call out there, as it was another area of encouraging commentary. Thanks, guys.
Alex Zukerman: Yes. So this is Alex again. So I think we need to look here. There are two major vectors that draw this attention of the market to our solutions. One is the unique capabilities across each one of our core platforms. When we look at workers comp, where we definitely have a remarkable traction and success. The comprehensiveness of the solution, its unique product market fit, the way it gives the solution on a functional level to the users and the business of worker compensation is exceptional and this is how the market recognizes it. Together with the hyper strong technology, everything is deployed in the cloud in a SaaS model, strong integration to external ecosystem partners that we brought together to the game. This is definitely allows us to demonstrate a very, very mature and comprehensive solution. I think what we see in P&C solutions is also our ability to serve the customers to show the value, to help them grow their business in a record time. That’s definitely another driver. This is their product. When we look at our platform proposition and the digital and data capabilities that we bring together with the core, by ability to provide a turnkey solution, a full end-to-end solution, this is definitely one of the strengths point, having it fully integrated in a platform level, being able to deploy them all together, and we see here the effect in the market.
Dylan Becker: Great. Very helpful. Thanks, Alex. Thanks, Roni. Thanks.
Alex Zukerman: Thanks.
Operator: The next question is from Kevin Kumar of Goldman Sachs. Please go ahead.
Kevin Kumar: Hi, thanks for taking my question. I wanted to ask about the data and digital profit modules. I know that’s been a big focus area for you all, and just curious how that’s attaching to new deals, maybe how that’s trending versus prior quarters? And in general, can you just talk a little bit about cross-selling some of these modules back into the customer base and the success you’re having there? Thanks.
Alex Zukerman: Yes, so this is Alex here. Again the way we look at both digital and data solutions that we have a central entity in Sapiens that develops those solutions and spreads it across our different segments of the business and the different core solutions. So what we see is the effect of that in our strategy, we put a huge emphasis on the fact that we provide our core data and digital solutions fully pre-integrated, loosely coupled, so customers can pick and choose, but definitely fully integrated out of the box, which brings a huge operational efficiency both in the project and deployment and in the business as usual. Now, the impact on our business has several factors. One, our typical deal size is increasing. The wallet share of a typical deal is increasing, because we are not selling only core as we used to do in the years before, but we typically sell another with the core, a digital or a data or both solutions, and also deployed in the cloud. Not less important, of course, this aspect as well. So, I think first impact is wallet share. Second impact is the attractiveness of our solutions is rising, and it seems more and more attractive because we can provide customers the full end-to-end solutions covering the various aspects of this business in a single installation. And this brings also a lot of value to the customer’s inability to work with one vendor to deploy something that is pre integrated and hence cost effective. This also allows us to increase our cross-sell now this is something that we are now starting to do more aggressively than before. This is also comes with a high level of maturity of our digital and data solutions that now we feel very, very comfortable going forward. And as Roni mentioned, increasing our sales and account executive teams to be able to go back to our customer base. Most of them are on a core business application usage and cross sell with our data and digital solutions. And we start to see this trend both in Europe and in the U.S.
Kevin Kumar: Great, appreciate that and helpful. And I wanted to maybe ask also if you can give an update on your offshore ratio, kind of where we are in terms of that transition and maybe how much that is helping drive margin expansion this year and anything else you’d comment on kind of the success you’re seeing in kind of improving profitability this year. Thank you.
Roni Giladi: Hi Kevin, this is Roni G. So offshore ratio, we are about 51% overall. We are growing this quarter-over-quarter. This quarter we also grow a minimal percentage, but continue to grow. There is obviously impact on the gross margin and operational profits. So this is important factor in our business this quarter. The improvement is not coming from the offshore ratio. It’s mainly coming from shekels versus dollar impact that have some benefit to us. But we offset this by additional investment in SG&A and in R&D. And we believe we can increase the offshore ratio in the next several years and create additional few percentage improvements in operation profit in the next few years.
Kevin Kumar: Great. Thanks for taking my questions.
Operator: The next question is from Chris Reimer of Barclays. Please go ahead.
Chris Reimer: Hi, thanks for taking my questions. Another topic around OpEx. I wanted to ask, given the strong growth in the regions, how are you looking at the rate of investment as compared to costs?
Roni Al-Dor: Chris, can you please repeat the question?
Chris Reimer: Yes. How are you looking at investments across the regions now that they’re growing so well, they’re producing good results? So how are you looking at the level investments in terms of headcount, in terms of cost, spending and sales and marketing, this kind of thing?
Roni Al-Dor: I will try to answer and then Roni and Alex will follow up. Obviously you see that the dollar value in SG&A and in R&D growing quarter-over-quarter constant all the time. So in R&D please think also that we are having offshore employee that adding. So even though that we’re adding significant amount of employee, the impact on the dollar is not significant. We allocate the R&D investment based on growth engine in the company. About two thirds of our product in the company are growth engine and vast majority of this R&D investment is going to there. And we are focusing on the Western world, North America and Europe and the region that we have operation. So this is on the R&D. On the SG&A as Roni mentioned, we believe that we can increase the sales team and account executive both in Europe and in North America. And as we speak, we are already doing this. We are not seeing significant increase in the SG&A because we are also reducing some of the cost of the G&A like leases that we already did in this year. So significant investment in the SG&A because we believe we have the product to sell vast products with and also good position in North America and in Europe.
Chris Reimer: Got it. Thank you. And regarding the AI product that you announced last month, can you walk us through how that looks right now versus your other pre integrated digital products? Can you just walk us through how it might be different and what’s the potential there in terms of what you have in place right now?
Alex Zukerman: This is Alex. So our decision, so we published our new generative AI capabilities with the decision model tool. Our decision model tool has two main usages within Sapiens. One, it’s a software that is sold to financial institutions, banks, insurance companies and other large financial institutions to manage their business logic. And the second usage of that is like an OEM within our internal other core systems to use it as a tool for automation and for business rule management. The impact of this new Gen AI capabilities is very substantial on both aspects. When we look at using decision by our customers as the decision modeling and business rule management tool, already the first stage that we rolled out the model AI allows them to really capture all the logic of the decision model. Rather than use a person, a business analyst or a modeler to build the data, we can now consume it from any type of documentation written in any natural language, an ability to translate natural language into business rules and deploy them. This brings about, we estimate, at least 30% reduction in effort in deployment project and in business as usual. This value is really we can harvest the value both in the direct sales of decision as well as using it within the core platforms of Sapiens, where it is the entity that manages the business rules, and also there in terms of both the project implementation, the one-time implementation, as well as the business’s usual maintenance and ongoing business management. This brings a substantial reduction in the effort and in the time that it takes to work on that. The next stages that we plan to roll decision Gen AI is around integration around the ability to seamlessly work with machine learning capabilities embedded in the decision model. And all this will bring a huge amount of opportunities for us to improve the business operation, to improve role management, and to improve automation for our customers, both using it as an internal capability and on the customer site.
Chris Reimer: Got it. Thank you. That’s some great color. That’s it for me.
Roni Al-Dor: Thank you.
Alex Zukerman: Thank you.
Operator: The next question is from Omri Lapidot of Leumi Partners. Please go ahead.
Omri Lapidot: Hey, congratulations on the results [indiscernible] from the new partners here. Can you comment on the operating cash flow, which was approximately $4 million? Is the third quarter usually a weak quarter? We also saw it the previous year. Did something change in the consumer side payment terms or something like that? And one more thing, just making sure I heard right, the 2024 mid range conservative forecast is about $550 million.
Roni Giladi: Hi Omri, this is Roni G. I will answer both of your questions regarding the first question in collection some of the time, yes, Q3 is slightly lower. We do not expect this to continue. There is no issue with our customers. There is no any accrual that we need for the outsole accounts. Customer are good relationship only amount of collection. So we do not expect this to have in Q4 and we’ll catch up with this difference. So this is on the collection point. Again, no change in the contract care perspective, not also change in customer relationship with Sapiens at all. Regarding the point of 2024, because of the situation, because investor approach us, we thought that this is right to put something in place in Q3 instead of Q4 to see the stability that we have in Sapiens company. As we mentioned in the call, about 67% of our revenue is recurring in nature. We have a significant customer. We are implementing core system to them. So we feel very strong about the ability to continue to grow. Regarding the number, this number reflect the existing customer that we have in additional potential prospect that we have in place that we need to convert into revenue. Obviously this need to be done. So this is why we mentioned the $550 to make sure that we continue to grow as we continue in the past. If we need to change it upward or slightly lower, this will be in Q4. But right now we feel very comfortable with this number.
Omri Lapidot: Okay, great. Thanks.
Operator: [Operator Instructions] This concludes the question-and-answer session. Before I ask Mr. Al-Dor to go ahead with his closing statement, I would like to remind participants that a replay of this call is scheduled to begin in two hours. In the U.S., please call 1-888-269-0005 in Israel, please call 03-9255-938 and internationally, please call (972) 3-9255-938. Mr. Al-Dor, would you like to make your concluding statement?
Roni Al-Dor: Yes. Hey, thank you. In conclusion, I want to emphasize our dedication. To delivering our promises. And to continue to achieve our profitability growth. We look forward to continue this journey with all of you. Thank you for trust and support in Sapiens. Thank you for joining the call today. And we look forward to speaking with you in our next earning calls. Thanks.
Operator: Thank you. This concludes the Sapiens International Corporation, Third quarter, 2023 results conference Call. Thank you for your participation. You may go ahead and disconnect.